Operator: Ladies and gentlemen, thank you for standing by, and welcome to the REX American Resources Fiscal 2018 Second Quarter Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct the question-and-answer session. [Operator Instructions] I would like to turn the conference over to Doug Bruggeman, Chief Financial Officer. Please go ahead.
Doug Bruggeman: Good morning and thank you for joining REX American Resources fiscal 2018 second quarter conference call. We'll get to our presentation and comments momentarily as well as your Q&A, but first I'll review the safe harbor disclosure. In addition to historical facts or statements of current conditions, today's conference call contains forward-looking statements that involve risks and uncertainties within the meanings of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements reflect the Company's current expectations and beliefs but are not guarantees of future performance. As such, actual results may vary materially from expectations. The risks and uncertainties associated with the forward-looking statements are described in today's news announcement and in the Company's filings with the Securities and Exchange Commission including the Company's reports on Form 10-K and 10-Q. REX American Resources assumes no obligation to publicly update or revise any forward-looking statements. I have joining me on the call today, Stuart Rose, Executive Chairman of the Board; and Zafar Rizvi, Chief Executive Officer. I'll first review our financial performance and then turn the call over to Stuart for his comments. REX is pleased to report its fiscal 2018 second quarter earnings results, as we had a year-over-year improved performance in the ethanol and by-product segment and a positive contribution from the refined coal segment. Sales for the quarter increased 18.4%, primarily due to higher ethanol gallons sold and higher distiller grain pricing offset by $0.07 reduction in per gallon ethanol pricing. Sales for the quarter were based upon 72.7 million gallons [ph] this year versus 61.3 million in the prior year. These same factors largely led to gross profit for the ethanol and by-products segment increasing only 26% for the second quarter from 10.8 million to 13.7 million. The refined coal segment had a gross loss of 4.3 million for the second quarter of fiscal 2018 versus no activity for the prior year as we acquired the entity on August 10, 2017. This gross loss is more than offset by tax benefits recorded from the Section 45 credits. SG&A increased for the second quarter from $4.8 million to $6.1 million primarily due to increased incentive compensation associated with corporate profitability and higher freight related charges. Equity and income of unconsolidated ethanol affiliates increased from $137,000 to $874,000 for the second quarter. Interest and other income increased from $334,000 to $696,000, reflecting higher interest rates on our cash and short-term investments. We booked a tax benefit of $5.6 million for the second quarter of this year versus a tax provision of $2.3 million in the prior year. This is primarily a result of the Section 45 credits from our refined coal operations as well as lower federal tax rates. During the second quarter, the Company purchased a 102,012 shares at an average price of 73.72 bringing the total purchase year-to-date to 228,153 shares at an average price of 72.97. Reflecting the above factors, our net income attributable to REX shareholders and earnings per share both increased more than threefold for the second quarter from 2.9 million to 9.2 million and from $0.45 per share to a $1.43 per share respectively. Stuart, you can go ahead with your comments now.
Stuart Rose: Thank you, Doug. Going forward, we expect third quarter earnings to be positive but below last year's third quarter earnings. Ethanol, we currently expect to be down due primarily to crush spreads, which our CEO, Zafar Rizvi, will elaborate on later. Refined coal, we expect down [ph] mostly due to the large number of tax credits we reported last year, but it will still be profitable on an after-tax basis and we still believe that it will bring our overall tax line below -- federal tax line below zero. We will benefit during the next quarter from a lower tax rate, a lower federal tax rate, a lower share count and will have higher interest income coming in during the next quarter than last year in those three areas. In terms of segments, in the refined coal segment, it continues to generate tax credits well in excess of the expenses and effectively brings our federal tax rate below zero and allowing credits that aren't used to be carried forward. We have approximately three more years of credits related to this operation if all goes well. Refined coal for those who don’t know surprises us that lower certain pollutants in coal as compared to burning the untreated feed stock. In our case, we lowered the NOx and mercury, the process although it loses money on an operations basis, generated tax credit which allows for a profit on an after tax basis. I'll now turn over the conversation to Zafar Rizvi, our CEO who will now discuss the ethanol segment.
Zafar Rizvi: Good morning everyone. During the first two quarters of 2018, we made total capital investment of approximately 5.8 million at our ethanol plants. We plan to spend 4 million to 6 million for capital improvements over the year, excluding any maintenance or scheduled shutdown expenses. In the first quarter, we sold 18.6% more gallons at our consolidated ethanol plants than last year second quarter. We grew 18.2% of year-over-year net sales and revenue and 26.8% rise in the gross profit, and 37.5 increase in income before income tax from our ethanol plants. The growth of our ethanol plants and tax cuts resulted in 213% net income increase and 217.8% rise in earnings per share. As far as our third quarter 2018 results for ethanol, segments are expected to be lower than last year at the same time, while we saw some improvements at the end of the second quarter, since then the crush spread has declined and not rebounded. Due to continued uncertainty of the trade dispute with other nations as well as the small refineries exemption, the crush margin has continued to decline. There is some hope that the Mexico trade dispute may be resolved soon. As far as ethanol is concerned, the ethanol producers continue to operate at a record rate according to EIA. Ethanol stock increased 242,000 barrels last week, a 22-week high and the highest since March 16, 2018. At this production rate, we expect ethanol production will increase to approximately 16.4 billion gallons in 2018 while the gasoline demand is expected to increase approximately 2% or more compared to 2017. Ethanol export during the first six months of 2018 was approximately 928 million gallons compared to 682 million gallons in the first six months of 2017. Brazil, Canada, India, and China were the four importers. Since then, China has dropped out and slapped an almost 70% import duty as a result of the growing trade dispute. Brazil imported 346 million gallons, Canada 160 million gallons, and India 70 million gallons during the first six months of 2018. If the U.S. and China are able to satisfactorily resolve the trade dispute, we could see a meaningful increase in export to China. Mexico will potentially replace MTBE. Once that happens, Mexico could be a big ethanol importer. Mexico imported only 14 million gallons in the first six months of 2018 compared to 17 million gallons in the first month of 2017. We expect ethanol export will be 1.5 billion to 1.6 billion gallons or more this year. As far as concerned about distilled grain, export of distilled dried grain for the first six months of 2018 increased by 150,000 metric tons. Mexico the top destination bought approximately 1 million metric tons, South Korea purchased 581,000 metric tons and Turkey bought 576,000 metric tons. Vietnam imported 550,000 metric tons compared to only 2,000 metric ton in the first six months of 2017. So, there is a big increase from Vietnam this year. During the first six months of 2018, export totaled approximately 5.7 million metric tons compared to 5.5 million metric tons during the same time last year. Mexico, South Korea, Turkey, Vietnam and Thailand were the top five importers in the first six months of 2018. We certainly concerned about the dispute between Turkey, which can hurt our DDG export. DDG is currently trading at approximately 110% to 125% of the corn value, largely due to reentry of Vietnam as importer of this year. We believe the DDG market will be remained the same in the near future unless China's tariff is reduced or eliminated. China purchased 96,000 metric tons in the first six months of 2018 compared with 309,000 metric ton in the first six months of 2017. As far as corn, yesterday, corn crop report showed that 68% of the corn is good to excellent compared to 62% last year. The corn crop is projected to be yield 14.6 billion bushels according to the August 2018 USDA forecast. The estimated corn yield is nearly 178.4 bushels per acre an all-time high, which will result in the production of 14.6 billion bushels of new crops. The carryout which seems to be low 2018 and '19 is expected to be 1.7 billion bushels. The crop production report shows that Illinois and South Dakota where our two majority owned plants are located, are expected to have better yield this year compared to last year. Another factor which we’re in this ethanol business is the cost of energy. Natural gas prices are expected to stay stable or may drop as storage continues to increase. This two will be affecting our industry overall profitability. Now, I hand over back to Stuart for his further comments.
Stuart Rose: Thank you, Zafar. As most of you know, we have large amounts of cash or continued to generate large amount of cash and in terms of uses of cash, our plans are to buy -- to continue to buy shares, we bought 102,000 a little over 102,000 shares. During the last quarter, we buy on dips the average price that we paid during the last quarter was $73.72. We continue to look for acquisitions either in the ethanol or other things in the energy field. Nothing is imminent at this time. We continue to spend as Zafar talked about capital expenses related to our ethanol plant to try and achieve greater efficiencies. We now are investing our cash, which as I said earlier is a -- continue -- well, either continues to be generated at a very high level. We continue to invest it in short-term bonds and money market, and this year we are able to earn some money on that money, which last year was very tough to do. In terms of -- in conclusion, although, we are currently going through a difficult period related to the ethanol during this quarter after a fairly good quarter, last quarter, we are pleased to be able to report that we were still significantly in the top part of the industry and our plans remain among the very-very best. We have good locations. We have good corn access. And now with the expansion in the sites for our plants, we have very good economies to scale. However, the biggest thing that we have and I think that really separates us and what I can make is real reason we outperformed the industry almost every quarter is that we have in my opinion, the best people in the industry. That's what really sets us apart. They're dedicated hardworking people and most of them have been with us for very long time. At this point in time, they know what they are doing, and really think that's the difference between us and why we continually do significantly better than most plants in the industry. I'll now leave the forum open for questions.
Operator: [Operator Instruction] The first question is from the line from Pavel Molchanov with Raymond James. Please go ahead.
Pavel Molchanov: Similar to last quarter, I wanted to ask about the M&A landscape. So, we're now well into probably 12 months, if not longer into this rather depressed period of crush spreads. Is your sense that most asset owners are likely to be net sellers at this point? In other words, is it more of a buyer's market if you wanted to buy a new plant or a seller’s market?
Zafar Rizvi: My opinion is that it's a buyer's market, if you want to buy plants that are not in my opinion, quality plants, but the quality plants like we have -- I don't know, if any of that are on the market currently of the Fagen/ICM 100 million gallon plus plants in the corn belt, maybe there are some that I don't know. But I -- those type of plants are hard to come by and I would guess, if one comes up, it would be – you’d see it sold. I don't know what price it would be sold at, but the ones that are not taking ICM that are not in the corn belt, those are available, but usually not the type of -- at this point these crush spreads are usually money losers or in my experience, I see them as money losers, and I don't think there's much of a market for those and those would definitely be a buyer's market if there was a buyer out there willing to buy it.
Pavel Molchanov: How long do you think this current margin landscape needs to last before some real kind of desperation sets into the industry, maybe along the lines of what we saw in 2011, 2012?
Stuart Rose: What we really need is some of these plants to close down and not be sold particularly out of service. And I don't know what it will – whether Zafar maybe you have some knowledge or some ideas on that. I don't see any of them at this point in time going permanently out of service. Zafar, do you want to elaborate on that.
Zafar Rizvi: Yes, I think I agree with Stuart that at this time the corn belt plants, most of -- basically which the farmers own, they are already -- that is already paid and they're not expected to slow down. They may slow down a little bit, but they don’t think -- I don’t think they are going to close down for a longer period. But I think the main concern would be the destination plants, and if it continues to be too much ethanol in the market, that may -- those plants may in fact compare to the corn belt area.
Stuart Rose: One thing that happens Pavel, in our industry nothing ever closes permanently. They close and then crush spreads go up and then they reopen and backout at it again, that's just the nature of the industry.
Pavel Molchanov: Then last one for me on export. You've talked about obviously China, that’s been a headwind for exports. But it seems like other countries are picking up the slack from China and maintaining total export volumes roughly on par with what they were in 2017 before the trade war, is that a fair statement?
Stuart Rose: Yes, I think -- I was just going to say one thing on the exports that yes, maybe it's about where it should be, but with the price of ethanol versus the price of gasoline, exports should be significantly more way up in my opinion, and Zafar will elaborate after me. But I think that that ethanol is a great bargain worldwide relative to gasoline and it's also a cleaner burning fuel, so if we could ever work this trade stuff out, I think there would be a huge market worldwide for ethanol. So far a huge increase, not just keep the same or slightly below. I think it should be way up and it could be way up if we could ever get the trade stuff settled. Zafar?
Zafar Rizvi: Yes, I think if you look at that, the Brazil is the one who really imported this year, 346 million gallons compared to last year 159 million gallons. Canada was little bit behind and India was little bit behind compared to last year, but the Brazil [Technical Difficultly]…
Operator: Pardon for the interruption. Mr. Rizvi has disconnected. We'll be reconnecting him right away.
Stuart Rose: Okay, I'm still on the line if there's any questions I can answer while we -- till we get him back.
Operator: Thank you. [Operator Instructions] Our next question is from the line of Peter Gylfe with Citadel. Please go ahead.
Peter Gylfe: One of your peers in Omaha has obviously talked about potentially selling some plants and you sort of mentioned that there is no eminent M&A in ethanol. Can you just sort of touch on why that wouldn’t be of interest?
Stuart Rose: In terms of why these plants wouldn’t be -- I wouldn't want to comment on why that wouldn’t be of interest, a lot of -- there is a lot of issues related to -- it's always, in the end comes down to what one person would pay versus what another person would pay, that company you are talking about has many good plants. And I'm not sure any as of you that aren't as good and I'm not sure exactly. Let's put it like this, I'd rather not comment on something like that, we just don’t have anything eminent related to buying plants. And I will say that, that company you're talking about does have good plants, not all good but they have some really good plants.
Peter Gylfe: Maybe to ask a different question, but kind of semi-related you talked about kind of a core plant in the value that would have and then sort of non-core plant. Do you have a view in your mind for what kind of prices those plants would go for if they were sold?
Stuart Rose: No, I don’t. I really honestly don’t have -- there hasn’t been. We sold the plant a few years ago during much right after a period of much better times for a couple of 100 million. We didn’t sell. We were minority interest, but the majority interest and went along with the transaction for about 200 million. So that would be a benchmark that's out there. There is also a bunch of plants that have been bought by Pacific and Great Plains that were public transactions, which hold different level of pricing. And I think you can look at those to that group of transactions and look at the transaction we did that should give you a pretty good idea of what the difference in price in plants has been historically.
Zafar Rizvi: If you put go out there and try to build that another facility about a 100 million gallon plants will cost you to approximately $194 million to $200 million, and then it takes almost 18 to 20 months to really construct that plant. So that will be construction cost and plus to build the ethanol plant, so it depends all which market you are you have the plants located and compared to the market. If you destination plants they are little bit cheaper than the corn belt plants.
Operator: Mr. Rose, there are no further questions at this time. I will now turn the call back to you for closing remarks.
Stuart Rose: We like to thank everyone for listening to the call and we look forward to talking to you after our next quarter results. Thank you very much. Bye.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines.